Operator: Good day, and welcome to Cherry Hill Mortgage Investment Corporation First Quarter 2025 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] As a reminder, this call maybe recorded. I'd like to turn the call over Garrett Edson with ICR. Please go ahead.
Garrett Edson: We'd like to thank you for joining us today for Cherry Hill Mortgage Investment Corporation's first quarter 2025 conference call. In addition to this call, we have issued a press release that was distributed earlier this afternoon, and posted their press release and the first quarter 2025 investor presentation to the Investor Relations section of our website at www.chmireit.com. On today's call, management's prepared remarks and answers to your questions may contain forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ from those discussed today. Examples of forward-looking statements include those related to interest income, financial guidance, IRRs, future expected cash flows as well as prepayment and recapture rates, delinquencies and non-GAAP financial measures such as earnings available for distribution or EAD and comprehensive income. Forward-looking statements represent management's current estimates, and Cherry Hill assumes no obligation to update any forward-looking statements in the future. We encourage listeners to review the more detailed discussions related to these forward-looking statements contained in the company's filings with the SEC and the definitions contained in the financial presentations available on the company's website. Today's conference call is hosted by Jay Lown, President and CEO; Julian Evans, the Chief Investment Officer; and Michael Hutchby, the Chief Financial Officer. Now I will turn the call over to Jay.
Jay Lown: Thanks, Garrett, and welcome to our first quarter 2025 earnings call. The first quarter of 2025 was anything but calm. The reaction from markets domestically has been very aggressive during the first 100 days of the new administration amidst a backdrop of increased uncertainty, disruption and meaningful policy changes coming out of D.C. Rates pushed lower in March, partly driven by rhetoric from Washington and the 10-year ended the quarter at 4.25%, approximately 30 basis points lower quarter-over-quarter. That, however, was quickly overshadowed by the run up to the Liberation Day tariff announcements on April 2. Suddenly rates spiked on fears of a broader economic recession and stagflation. While the administration put a pause on the majority of the reciprocal tariffs for 90 days to reach new agreements, investors are in wait-and-see mode to determine whether the administration can negotiate trade deals or if we will return to potentially unprecedented volatility. Going forward, we expect rates will continue to be highly reactive to both global political agendas and domestic economic data. This uncertainty has pushed us to position the portfolio more neutral to rates to withstand the daily volatility. For the first quarter, we generated GAAP net loss applicable to common stockholders of $0.29 per diluted share. Book value per common share finished the quarter at $3.58 compared to $3.82 on December 31. On an NAV basis which includes preferred stock and prior to any ATM capital raised in the quarter, NAV was down approximately $7.5 million, or 3.2% relative to December 31. Financial leverage at the end of the quarter remained consistent at 5.2x as we continue to stay prudently levered. We ended the quarter with $47 million of unrestricted cash on the balance sheet, maintaining a solid liquidity profile. We were pleased to complete our first full quarter as an integrated internally managed mortgage REIT. In line with our prior quarter comments, operating expenses declined quarter-over-quarter due to the elimination of the management fee. As we proceed through 2025, we will continue to closely manage our operating expenses as we look to responsibly grow Cherry Hill, which will ultimately improve both our expense ratio and our capital structure over time. Looking ahead, we are watching the macro environment and the tariff situation very closely and are stressing our portfolio for numerous scenarios in light of the forthcoming tariff deadline. In the near term, we plan to deploy capital as appropriate into Agency RMBS and select MSRs which still present strong risk adjusted return profiles while maintaining strong liquidity and prudent leverage. With that, I'll turn the call over to Julian who will cover more details regarding our investment portfolio and its performance over the first quarter.
Julian Evans: Thank you, Jay. Mortgages started the quarter well, tightening for the first two months, only to end the quarter marginally wider as pending tariffs increased volatility into the administration's announcement on Liberation Day. Overall rates ended the quarter lower and mortgage performance was mixed despite the rally in interest rates, higher coupon mortgages outperformed lower coupon mortgages. While our coupon positioning for the quarter was good, our portfolio needed to be longer in duration and the lower coupon portion of our portfolio simply did not keep pace with our hedges in the interest rate rally. As we look ahead like everyone else, we are watching the macro environment very closely as we await tariff deals to be hopefully announced in the weeks and months ahead. In the near term, volatility will likely continue and we will expect rates to remain elevated until there is some clear certainty with respect to go forward macro policy. At quarter end, our MSR portfolio had a UPB of $17 billion and a market value of approximately $227 million. The MSR and related net assets represented approximately 44% of our equity capital and approximately 24% of our investable assets excluding cash at quarter-end. Meanwhile, our RMBS portfolio accounted for approximately 39% of our equity capital. As a percentage of investable assets, the RMBS portfolio represented 76% excluding cash at quarter-end. Prepayment speeds for our MSR and RMBS portfolios remained relatively steady compared to the prior quarter despite rates rallying in the first quarter. Our MSR portfolio's net CPR averaged approximately 4.1% for the first quarter, down modestly from the previous quarter. The portfolio's recapture rate was de minimis as the incentive to refinance continues to be minimal for this portfolio given the portfolio's loan rate\. Going forward with rates remaining elevated amid the macro uncertainty, we continue to expect a lower capture rate and a relatively low net CPR in the near term given our portfolio's characteristics. Meanwhile, the RMBS portfolio's prepayment speeds remain low with mortgage rates fluctuating between 6.5% and 7% the past few months. If mortgage rates stabilize within this range, we would expect prepayment speeds to remain moderate in the second quarter. For the first quarter, the RMBS portfolio's weighted average three month CPR was approximately 5.8% compared to 5.7% in the fourth quarter. As of March 31, the RMBS portfolio inclusive of TBA stood at approximately $733 million compared to $723 million at the previous quarter end as we modestly shifted our RMBS positioning during the quarter and the portfolio remains higher coupon mortgage focused. For the first quarter, our RMBS net interest spread was 3.55% higher than the prior quarter, driven by improved dollar roll income and REPO expenses which were partially offset by reduced income from swaps. Overall, our hedge strategy remains largely intact and we will continue to use a combination of swaps, TBA securities and treasury futures to hedge the portfolio. Treasury futures have become a larger portion of hedges, especially given the recent tightening of swap spreads. As the year progresses, we would expect the RMBS portfolio's NIM to normalize towards historical levels in the next quarter as dollar roll income is less special and swap income is reduced as swaps mature. Moving forward, we will continue to proactively manage our portfolio while continuing to shift our overall capital structure to add value for shareholders through improved performance and earnings. I will now turn the call over to Mike for our first quarter financial discussion.
Mike Hutchby: Thank you, Julian. GAAP net loss applicable to common stockholders for the first quarter was $9.3 million or $0.29 per weighted average diluted share outstanding during the quarter, while comprehensive loss attributable to common stockholders, which includes the mark-to-market of our available for sale RMBS was $2.6 million or $0.08 per weighted average diluted share. Our earnings available for distribution or EAD attributable to common stockholders were $5.4 million or $0.17 per share. EAD in the quarter benefited from outsized dollar roll income and income received from one of the larger hedges before it matured at the end of the quarter. To that end, because that larger hedge has matured and will no longer receive income from it, we would expect EAD to be lower moving forward. However, as we have stated consistently, EAD is not the sole barometer for setting our common dividend and that our Board also considers factors such as the prevailing market environment, portfolio return potential, our level of taxable income, including potential hedge gain impacts, and the degree of certainty regarding forward investment return economics. Our book value per common share as of March 31 was $3.58 compared to a book value of $3.82 at the end of December. We use a variety of derivative instruments to mitigate the effects of increases in interest rates on a portion of our future repurchase borrowings. At the end of the first quarter we held interest rate swaps, TBAs and treasury futures, all of which had a combined notional amount of approximately $489 million. You can see more details with respect to our hedging strategy in our 10-Q as well as in our first quarter presentation. For GAAP purposes, we have not elected to apply hedge accounting for our interest rate derivatives and as a result we record the change in estimated fair value as a component of the net gain or loss on those interest rate derivatives. Our operating expenses were $3.8 million for the quarter. On March 13, 2025, our Board of Directors declared a dividend of $0.15 per common share for the first quarter of the year, which was paid in cash on April 30. We also declared a dividend of $0.5125 per share on our 8.2% Series A Cumulative Redeemable Preferred Stock and a dividend of $0.6372 on our 8.25% Series B Fixed-to-Floating Rate Cumulative Redeemable Preferred Stock, both of which were paid on April 15, 2025. At this time, we will open up the call for questions. Operator?
Operator: [Operator Instructions] Our first question comes from Randy Binner with B. Riley Securities. Your line is open.
Randy Binner: Hi, thanks. Good evening. Yes, I thought it was like hopeful commentary there. I think the question I have is, and I know this is covered Jay and team in the opening commentary, but is, I guess what would it take for you to allocate more to the RMBS portfolio? I think we've seen a little bit more growth from some others so far this quarter. Not that that's right or wrong, but there is this period of uncertainty but the core EAD is lower, as you said, on a go-forward basis if that portfolio doesn't grow. And so maybe just a little more color on what it takes to turn to a point where you're able to acquire more and grow the portfolio.
Jay Lown: Hi, Randy, how are you? Did you say MSR or MBS?
Randy Binner: I mean, I guess my question was more on MBS, but you know, hearing about both would be helpful.
Jay Lown: Yes, so all of the reinvestment amortization income that we get in has been reinvested in MBS. I can tell you we haven't purchased an MSR in quite some time. So while it may not look like the portfolio composition has changed a lot, the only true way to change that materially is for us to sell a portion of the MSR in favor of MBS. So definitively, I can say, for the past several quarters plus we have primarily, if not exclusively, been reinvesting income or reinvesting amortization into MBS.
Randy Binner: Okay, that's helpful. And then just on GSE reform, if I can get this one in, this is just something we've been gathering information on from throughout the industry. And so pretty clear movement at FHFA as far as de risking staffing, et cetera. Do you see movement there being priced into the market? Do you have a view of what you're looking for and how that might affect - how you allocate capital in the portfolio and how you run the business? Or is it too early to tell?
Julian Evans: Hi, Randy, this is Julian. I think it's a little too early to tell. There's obviously, as you've noted, there has been some definitive movements going around the GSEs. I think they've been primarily focused on expense deduction and everything, reduction and things like that. As we move forward, I think the biggest thing we'd like to see is obviously you want a complete resolution to what they really want to do with the GSEs. Whenever they enter a package on out, you don't want it to just be notes on a particular piece of paper. You'd like something in terms of a complete and well thought out idea. In terms of what they want to do to the GSEs, given the impact that they'll have on housing. In terms of it really kind of being priced into the market, I'd have to say no, I don't really think it's priced into the market because at some point we have to find out if they move towards privatization what they're going to do with the government guarantee on the security, how they're going to treat that. And I don't that - currently I think the market is making an assumption that that government guarantee is safe and sound at the moment. But we haven't seen any specific, any detailed plans on that at all. So I think we're kind of would be cautious on it. My estimation is that they will put out something complete in terms of GSE reform, but in terms of the government guarantee, that hasn't been well defined yet.
Randy Binner: All right, appreciate the comments. Thanks.
Operator: Thank you. Our next question comes from Jason Stewart with Janney Montgomery Scott. Your line is open.
Jason Stewart: Hi, good evening. Thanks. If I missed it, I apologize, but could you give us a book value update quarter-to-date in 2Q.
Jay Lown: Oh, man, you're stealing thunder from JMP.
Jason Stewart: Oh, sorry, Mikhail, my bad.
Jay Lown: That's just wrong Mikhail.
Mike Hutchby: Hi, Jason, it's Mike. So at the end of April, we see our NAV down about 3.7%, which then when you layer on the preferred multiple, you get to about a 7% book value per share. And that's before any dividends for the quarter as the Board has not yet met to approve one.
Jason Stewart: Okay. Usually I'm last in the queue, so I have to clean up the question. So, Mikhail, I apologize. And then in terms of the swap portfolio, could you remind us how much rolled off in 1Q? And then this less than one year bucket, I mean it's pretty small 15 million that's left. When does that roll off?
Mike Hutchby: So yes, in the first quarter and you can go back and you can see that same Page 11 in the prior quarter deck, so you can see that we had about 250 million of payer swaps that were rolling off in the quarter, it was about 0.2 years. And so if you see that same Page 11 in this quarter's deck, you'll see that we've got about 15 million left in that one year bucket and it's about 0.9 years left on that. There were a couple of receiver swaps that also paid-off or ended in the quarter. But [indiscernible] also been actively managing the swaps throughout the quarter as well.
Jason Stewart: Okay. So that's just the $150 million notional that will mature sometime in 2026, first half of 2026. There's nothing else rolling off this year?
Mike Hutchby: No, that's right, that's right. If you look at that first row on Page 11, the very top everything in that first row is within 12 months of the report date. So this page is all essentially relative to March 31, 2025.
Jason Stewart: Got it. And then one question on mortgages. There's been more talk and it applies to spec pools I guess, about how builder buy downs are impacting the convexity of mortgages. Are you seeing that? Are you seeing opportunities in spec pools within the builder buy down space or with regard to Rocket Cooper, how is it some people are looking at this thing, Rocket Cooper is now priced too fast in some models. Is this creating opportunities in loan pools for you or is this. How are you looking at this?
Julian Evans: Hi Jason, it's Julian. In terms of the builder buy downs look, we've seen builder buy downs in the portfolios before. I guess it's become more of a noted type of traded. If people are looking for some story to pick a particularly type of trade. We've noticed it when we run our missed models and things like that. It hasn't been anything that we have tried to focus in on the portfolio. I think we tried to, keep the pay-ups in the portfolio modest at this point. In addition to that, I think, if we are getting into some type of refinance wave, tried and true has always been some type of loan balance story. Typically those get bid up as rates go down and prepayment speeds get faster. What doesn't have really translate often are some of these one-off stories and that really haven't been around for a while. I think the bid team seems to fade on those.
Jason Stewart: Okay. So the spike pool is keeping it pretty straightforward. Okay, got it. That's it for me. Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from Mikhail Goberman with Citizens JMP. Your line is open.
Mikhail Goberman: Hi guys, hope everybody's doing well. I guess I lost a question there.
Julian Evans: No worries. No worries. I appreciate the apology, Jason. Totally unnecessary. We can have a battle who gets that question first going forward.
Mikhail Goberman: Congrats on your own Liberation Day guys. And the first full quarter of that and I guess if I have anything to ask, obviously we had the big Rocket Cooper deal. I was wondering if you're seeing any effect post that deal on MSR pricing and supply and just your general thoughts on the servicing space. I know you said you're not really adding at the margin to MSRs at the moment, but just your general thoughts post that massive deal. Thanks.
Jay Lown: Sure. Ray, can you handle that?
Raymond Slater: Yes, sure. Right now, I mean it's been still pretty quiet I think with the quarter as a whole, you've probably seen that volumes have been lower than they had been prior year. I suspect that going forward, assuming the completion of that, the combination of Rocket and Cooper, the buying impact won't really be all that different than it was before. But we haven't really seen any substantial changes in pricing dynamics in the market right now.
Mikhail Goberman: Okay, I appreciate that. And as far as EAD goes, you said it might trend a little bit lower going forward. How much of the EAD in the first quarter was due to the roll-off of those expenses associated with internalization?
Jay Lown: With internalization and the G&A savings, we see it at about $0.02 in the first quarter.
Mikhail Goberman: Okay. And forgive me if you mentioned this in your prepared remarks, but going forward, you said EAD was going to trend a little bit lower because of what exactly?
Jay Lown: Because of the large swaps that matured that we were chatting about earlier. So that large swap was contributing to EAD each quarter as well. And since that one matured in the middle of March, that one is no longer in the portfolio.
Mikhail Goberman: Got it. Great. Thank you, guys. And of course, best of luck going forward in this interesting times.
Jay Lown: Yes, thank you.
Julian Evans: Thanks, Mikhail.
Operator: Thank you. There are no further questions at this time. I'd like to turn the call back over to Jay Lown for closing remarks.
Jay Lown: Thanks, Operator. Thank you for joining us on our first quarter 2025 earnings call. And we look forward to updating you on our second quarter results soon.
Operator: Thank you for your participation. This does conclude the program and you may now disconnect. Everyone, have a great day.